Operator: Good afternoon ladies and gentlemen and thank you for standing by. Welcome to the Twin Disc 2008 third quarter financial results conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions) This conference is being recorded Tuesday, April 22, 2008. I would now like to turn the conference to Stan Berger of SM Berger. Please go ahead, sir.
Stanley Berger: Thank you Eric. On behalf of the management of Twin Disc, we are extremely pleased that you have taken the time to participate in our call and thank you for joining us to discuss the Company’s fiscal 2008 third quarter financial results and business outlook. Before I introduce management, I would like to remind everyone that certain statements made during the course of this conference call especially those that state management’s intentions, hopes, beliefs, expectations or predictions for the future are forward-looking statements. It’s important to remember that the Company’s actual results could differ materially from those projected in such forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the Company’s annual report on Form 10-K; copies of which may be obtained by contacting either the Company or the SEC. By now, you should have received a copy of the news release which was issued this morning before the market opened. If you have not received a copy, please call Pauline Collins at 262-638-4000 and she will send a copy to you. Hosting the call today are Michael Batten, Twin Disc Chairman, President and Chief Executive Officer and Christopher Eperjesy, the Company’s Vice President of Finance, Chief Financial Officer and Treasurer. At this time, I will turn the call over to Michael Batten. Mike?
Michael Batten: Thanks Stan and good afternoon to everyone. Welcome to our third quarter conference call. As Stan just indicated, I will start with a brief statement and then both Chris and I will be available to answer questions. Reported net sales for the quarter at $85.8 million were about equal to those reported last year at $86.4 million. Year-to-date net sales totaled $241.3 million, up 6.6% from $226 million in the same period last year. Foreign currency translation impacted sales favorably in the third quarter and nine months by $6.6 million and $14.1 million respectively. Continued strengths in our global markets for commercial marine and mega yachts was offset by softness in oil and gas transmission and industrial markets. Net earnings for the third quarter was $7.9 million or $0.70 per diluted share compared with $7.5 million or $0.64 per diluted share for the same three months a year ago. Two favorable tax adjustments totaling $1.8 million were included in the third quarter. Approximately $1 million represented the impact of a recently enacted reduction in the Italian corporate tax rate and the remainder reflected a favorable return to provision adjustments related primarily to foreign tax credits. Year-to-date, net earnings totaled $17.2 million or $1.51 per diluted share contrasted with $16.7 million or $1.43 per diluted share for the first nine months of last year. Gross margins for the third quarter held at 31%, down from 32.6% reported in the same three months a year ago. Year-to-date, gross margins were 31.4%, down from 32.2% recorded in the same period last year. Third quarter profitability was impacted by lower volume, reduced sales of higher margin products, higher sales of lower margin products and higher material costs. These were partially offset by higher pricing, expanded outsourcing and lower pension expense. The weakening of the US dollar versus the euro continued to put pressure on the sales of our Belgian operations and their sales into the North American market. However, this situation has enhanced the competitiveness of our domestic operation in their sales of products over seas. Marketing, engineering and administrative expenses as a percentage of sales were 17.4% in the third quarter as contrasted to 18.4% a year ago. The reduction was driven primarily by a favorable adjustment for stock-based compensation in the amount of $2.3 million that was partially offset by higher expenses due to foreign currency translation and the implementation of the Company’s new global ERP system. Year-to-date ME&A expenses were 19.5% of sales for both nine month fiscal periods. We continue to invest in our business. In the third quarter, we spent $3.8 million on CapEx and year-to-date the total is $10.6 million. We expect to spend another $5 million in the fourth quarter. We are comfortable with our balance sheet and capital structure. As of March 28, total debt was $57.4 million compared to $43.9 million at last fiscal year end. Our total debt to capitalization ratio is at 30.9%. Overall, we are pleased with the results of the third quarter. They compare well against the same period last year which was the best third quarter in the Company’s history. Demand for our commercial and high-end pleasure craft marine products continues to increase. Sales and orders for marine transmissions from the Pacific Basin and the US Gulf Coast and marine propulsion boat management systems for the European mega yacht market remains strong. Global demand for our marine product line has helped to offset the softness in our industrial and oil and gas transmission products and augment growing demand in military, at airport rescue and firefighting vehicles. Our six month backlog of orders has a reached record high. We are encouraged by recent order activity in both our industrial and oil and gas transmission markets. We expect that our foreign sales will exceed domestic sales this year and have a stabilizing effect on revenues. In addition, we remain focused on lowering our operating costs, continuing to develop and enhance our product portfolio and modernizing our manufacturing operations as well as expanding our global outsourcing program. The final three months should be another good quarter and we remain optimistic about the fiscal year 2009. That concludes the prepared remarks for today and Eric, Chris and I are ready to take questions.
Operator: Thank you sir. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Robert Spivy with Abernathy Group. Please go ahead.
Robert Spivy - Abernathy Group: Hi Mike and Chris, how are you guys doing?
Michael Batten : Hi Rob. How are you?
Robert Spivy - Abernathy Group: Doing alright. Just to wanted to get an idea of well, first what you guys consider to be your proper capital structure, your target capital structure?
Michael Batten : Well, I think we are pretty much at where we are right now and on an operating basis 30%, 31%, low 30’s of total capitalization is a comfortable area for us to be in. Now that does not mean that we cannot go out and look at acquisitions which is what we are doing and as a result of making an acquisition go above the 30, what we are looking at is keeping enough of our powder dry, so that can we make those kinds of acquisitions.
Robert Spivy - Abernathy Group: With that I suppose I can ask you on any color on which segment of your division do you want to make an acquisition in?
Michael Batten : Well, we are looking at all of the areas, we are not targeting one particular one or another. We are active in marine as well as land based opportunities.
Robert Spivy - Abernathy Group: And I just -- one last question; can you give some color on what part of your lien businesses were doing -- you thought were the strongest and the weakest in the last quarter and how you project those to go, going forward?
Michael Batten : Sure, the strongest part of our marine business is a combination of our commercial marine sales into the oil and gas markets around the world that would be driven by demands from the US Gulf coast as well as the Pacific Basin, so our sales in those areas have going extremely well and continued to do well in the forecast is for that to remain at high levels that we are seeing. The other part of the marine demand is coming from the European mega yacht market; particularly in lead but not necessarily, exclusively there and we see that demand for mega yachts has continued to grow and will remain at high levels for this foreseeable future.
Robert Spivy - Abernathy Group: So you didn’t see any weakness there at all?
Michael Batten: Do we see any weakness where?
Robert Spivy - Abernathy Group: In the mega yacht markets specifically.
Michael Batten : No, not in the European market segment. In the US segment the buyers -- the production is going on in Italy and in Europe, in UK. The North American market is in the smaller horse power range has been very soft and -- but the mega yacht market has remained strong.
Robert Spivy - Abernathy Group: Thanks a lot guys and congratulations on the quarter.
Michael Batten : Thank you Rob.
Operator: (Operator Instructions) Next question comes from Harris Hall with Longdale Asset Management [ph]. Please go ahead.
Harris Hall: Alright, congratulations on the quarter gentlemen.
Longdale Asset Management: Alright, congratulations on the quarter gentlemen.
Michael Batten : Thank you Harris.
Harris Hall: Several questions; one I noticed inventory was up 18%. What was the cost in dollar change and can you give us a little color on what’s going on there?
Longdale Asset Management: Several questions; one I noticed inventory was up 18%. What was the cost in dollar change and can you give us a little color on what’s going on there?
Michael Batten :  Sure, our inventories are up in part from -- I’ll let Chris to handle the currency effect but in pure operating terms our inventories were up both in our domestic manufacturing operations and in our European manufacturing operations in part due to -- here in the US an issue that we had on a particular quality problems that has been the result and we are resuming shipments and expect inventories to declined in the fourth quarter. In the European situation, we had a supplier issue which also has been a result and we expect inventories to begin to decline there as well as shipments resume, so that’s from an operating side Chris will address the currency.
Michael Batten: Yeah, roughly a third of what you have see as an increase there was purely driven by foreign exchange and the other two thirds goes to the comments that Mike just made.
Harris Hall: But this is not on plans kind of an obsolescence issue.
Longdale Asset Management: But this is not on plans kind of an obsolescence issue.
Michael Batten: No, this is clearly not an obsolescence sort of a slow moving issue.
Harris Hall: Okay, then next question you provide some pretty possible backlog numbers. How much of your businesses is from your longer term backlog related versus kind of a booked order.
Longdale Asset Management: Okay, then next question you provide some pretty possible backlog numbers. How much of your businesses is from your longer term backlog related versus kind of a booked order.
Michael Batten: Well, what you are seeing in the backlog is a backlog that is our orders to be shipped in the next six months and we do have backlog that goes out beyond that that is primarily in our transmission product line because it’s just the longer lead times that are necessary with a more sophisticated product, but most of the backlog that we have is in the what you see. It is largely being driven at the moment by the marine market both commercial and mega yacht and so the improvements is occurring there.
Harris Hall: So can we reuse that backlog -- I mean is it fair to assume positive sales growth for the next two quarters because of that.
Longdale Asset Management: So can we reuse that backlog -- I mean is it fair to assume positive sales growth for the next two quarters because of that.
Michael Batten: Well, I think that what we are going to see is certainly we are the least maintained levels of activity. What we are seeing is a filling of backlog out into next fiscal year that is encouraging and gives us good comfort about how the years 2009 is going to unfold.
Harris Hall: Okay but the fact that you are certain on the backlog is up where it was a year ago. It does not have to surely translate into -- and except sales to be up over where they were a year ago.
Longdale Asset Management: Okay but the fact that you are certain on the backlog is up where it was a year ago. It does not have to surely translate into -- and except sales to be up over where they were a year ago.
Michael Batten: It’s a correct statement that is not always the direct correlation.
Harris Hall: Okay and then on the sales, the sales were down 8% cost in dollars. How should we look at that is the weakness in the industrial and oil and gas business, overwhelming depositor’s, presumably positive sales growth you are getting in the marine business.
Longdale Asset Management: Okay and then on the sales, the sales were down 8% cost in dollars. How should we look at that is the weakness in the industrial and oil and gas business, overwhelming depositor’s, presumably positive sales growth you are getting in the marine business.
Michael Batten: We are seeing that there is a greater decline in the oil and gas and industrial year-to-date well say in the last quarters but much of that decline is being absorbed by growth and in the marine sector.
Harris Hall: Would you want to qualify it for us even if in kind of ranges?
Longdale Asset Management: Would you want to qualify it for us even if in kind of ranges?
Michael Batten: No, we don’t release that information Harris.
Harris Hall: Okay, great that’s very helpful. Thank you.
Longdale Asset Management: Okay, great that’s very helpful. Thank you.
Michael Batten: Okay, fine thanks.
Operator: Our next question comes from Tim Griffith with Rockwood Investment Partners. Please go ahead.
Tim Griffith – Rockwood Investment Partners: Hi good afternoon, how are you all?
Michael Batten : Fine Tim, how are you doing?
Tim Griffith – Rockwood Investment Partners: Good thanks. I was curious to know if you can speak to what percentage of your business was related to the mega yacht segment in the quarter.
Michael Batten : We don’t publish that information Tim but clearly it’s the growing segment of our business with our move over recent years with our role acquisitions and our BCS acquisitions, Switzerland and Italy added to our Arnessan business that we had the surface drive business. We made major moves into this market area and so we see it as a good area for us going out into the future.
Tim Griffith – Rockwood Investment Partners: What’s the thinking behind not disclosing the percentage? I am sure it’s for competitive reasons but --
Michael Batten : That clearly it. We are public company to the -- we are public company and our competitors are other large divisions of very large companies or companies that don’t disclose their information. So, all we are doing is giving away our competitive posture to them where we don’t have the quick pro quote.
Tim Griffith – Rockwood Investment Partners: Okay and you think that could affect your pricing potentially or what would be the downside of them knowing that?
Michael Batten : Well, not only the pricing but the actual values and the size of the market that we are in and also we are getting margin.
Tim Griffith – Rockwood Investment Partners: Okay, then moving to something else is there any currency change effect on your cost to goods sold number. Obviously there is on the top line but…
Michael Batten : Chris we will address that.
Christopher Eperjesy : Yeah, we have a good guy in translation and then the bad guy is the sales of the Belgian production which are in Euro cost in US dollars into the US. That increases is not inconsistent with the revenue increase, so in other words it’s a relatively stable margin translation, so I don’t have the exact number in my head but it’s consistent with the growth in revenue.
Tim Griffith – Rockwood Investment Partners: Okay and may be help us with a model there, what was the percentage decline in volume for the quarter?
Michael Batten : 58% that you talked about without FX.
Tim Griffith – Rockwood Investment Partners: 58% okay.
Michael Batten : Sorry Harris mentioned.
Tim Griffith – Rockwood Investment Partners: Yeah, that’s okay and is there anything you can attribute the decline in the oil and gas business to specifically for the quarter. Is there anything you can attribute specifically the oil and gas decline in the quarter two?
Michael Batten : Well the actually our rate of shipments were less comparable or even better than the second quarter. The comparison is really outstanding the third quarter last year was. So, the third quarter last year was a knock out quarter if you go back and take a look at it and basically that’s where the negative comparison comes but our shipments -- we are still shipping product into oil and gas both on a land based side and on a marine transmission side. The marine transmission business is still up but the attraction with those pressure pumping markets is where the softness occurred, but as I indicate it in my remarks we are seeing order activity and picking up and we are encouraged by of what we see in here.
Tim Griffith – Rockwood Investment Partners: So is it fair for us to assume that pressure pumping for your quarter was down year-over-year for the industry in general between your record quarter and the third quarter of ’07.
Michael Batten: Yes.
Tim Griffith – Rockwood Investment Partners: Okay, alright, that’s all I had. Thank you.
Michael Batten : Thanks Tim.
Operator: Our next question comes Gerry Heffernan with Lord Abbett & Company. Please go ahead.
Gerry Heffernan - Lord Abbett & Company: Alright good afternoon everybody. I would concentrate on the pressure pumping a little bit also. The previous question that I was asking about, what has happened, I was most interested in your comments in the press release of your encouraged but what appears to be reemerging activity in the oil and gas markets. Would that be in oil and gas pressure pumping fract business or would that be a accelerating rig further growing business in oil and gas marine.
Michael Batten : Well, it’s actually false. We are seeing the -- to talk specifically to the pressure pumping side of the business as I just mentioned in the previous questions, we are seeing orders and queries increasing for production in the new fiscal year, our 2009 fiscal year. So we are filling our order boards with our transmissions to go forward into the next fiscal year; that we see as an encouraging sign. There is some tightness reoccurring in the market availability and so we are encouraged to see that. Clearly on the marine side there is not a lot of activity that is going on, not only in the US Gulf coast but in the Pacific Basin where we are shipping our marine transmissions to applications that will go into offshore oil, crew boats and supply vessels.
Gerry Heffernan - Lord Abbett & Company: Okay and is it primarily for the crude supply vessels? What about -- I believe it’s a proposition type product; the product that you have for the proportion aspect of dynamic positioning drill ships and rigs.
Michael Batten : The products that we are shipping in the marine market are what we call a quick shift enabled and that enhancement, that quick shift function is what allows for dynamic positioning to occur. At least in our marine transmission that gives you the instantaneous ship that is required to maneuver the vessel with the performance we are talking about. So it’s -- all of our transmissions are now enabled with quick shift, so adversely anything that goes out in the commercial marine area it can be used for dynamic position.
Gerry Heffernan - Lord Abbett & Company: Okay thanks. Could you -- and I apologize I missed the good part of European comments. Could you just address the topic of share repurchase? Certainly if you look at the basic shares out year-over-year it’s down 428,000. I think you completed a part for investment share buy back. You did state that you are happy with the capital position of the Company as it stands right now with the 30% debt to Cap, but if you can just approach the topic -- big picture, where you sit as a corporation in regards to share repurchase, the balance sheet and how you balance CapEx going forward in light of that and the share price here it’s -- it seems to be relatively attractive or certainly it seems to be more attractive than I think anything you could pay -- any valuations you would pay for acquisitions.
Michael Batten : Well, from as you the big picture point of view, our view is this; that we have been involved in the repurchase of our shares and demonstrated that through last summer and up until the window closed in the third quarter and so Chris can give you the details if you wish of those repurchase, I think they were in the press release. From a strategic point of view here is the balancing that we are doing. We are actively involved in evaluating and negotiating acquisitions and quiet frankly our preference is to grow the Company and move the Company in directions that these acquisitions would help us try to. We think that our share holder value long term is enhanced by that kind of activity; let’s go back with things that are doing well for us right now. In the mega yacht market just as an example, our a combination of the roller acquisitions and before that, the arnest acquisition and the BCS acquisition, so we wouldn’t have the value that that is bringing to the share holders if we were moving ahead in that front. Similarly we would argue that that’s a long term, but the best use of share holder’s money is to grow the Company in areas that will generate earnings in excess of our cost of capital and quiet handsomely. Yes, we can buyback shares of stock which we are told to do from time to time. As we feel that the stock price is very low and a value enhancer in that regard, but we are not going to be in a position of applying all of our debt capacity to just stock buyback. Yes, it enhances the value of the shares on a short term basis; but it doesn’t necessarily address the long term value enhancement and value creation of the Company.
Gerry Heffernan - Lord Abbett & Company: Thank you very much for telling me that.
Michael Batten : Okay.
Operator: Our next question comes from Joe Norton with Singular Research. Please go ahead.
Joe Norton - Singular Research: Thanks good afternoon.
Michael Batten : Hi Joe
Joe Norton - Singular Research: Hi. I’ll have to go back to the backlog issue because I’m still not exactly understanding this. Now it means in the past that there has been a pretty good correlation between -- there has always been 68% growth in backlog and that’s translated in revenue and then suddenly this quarter that is not the case and yet the backlog continues to go up, so is there -- are you seeing order cancellations, is there some change in the composure of the backlog that it’s stuff that’s taking longer to build -- I’m just -- I don’t understand why the disconnect between sales growth and backlog.
Michael Batten : Right, the backlog as a single number is not necessarily something that it can be used to translate to what the volume is going to be. For example at a $125 million of backlog for six months, you can’t double that and say we are going to be $250 million, okay; that’s one point. The second point is that our backlog is really driven by multiple product lines that have different lead times and so the lead time let’s say of the service part could be one week or less and never really make it in and out of the backlog. On the other hand the other end of this spectrum is transmission that may have a nine months or greater backlog and so it doesn’t even show up in the six months backlog until it’s been in our total backlog for three months, if you use nine months as an example. So, and then you have products that fall in between that are perhaps a little bit more normal. So, our industrial -- our after market is the fastest turn and our next is the industrial products that we produced, the next longer lead time would be our marine products and then the longest lead time is the transmission product line which is typically nine months or so for order entry. In the case of the build-up over the last couple of years of the pressure pumping business, the backlog grew well ahead because it was all transmission and so what we are seeing in our backlog to these days is a change. The backlog in the pressure pumping factoring rig market has ahead -- we have shipped that backlog and so some of it is coming back and going back into our room translating into sales and our marine business is growing which tends to have that shorter backlog. So the….
Joe Norton - Singular Research: So, it’s kind of what we are seeing that are shipped and one to the marine.
Michael Batten : That’s right.
Joe Norton - Singular Research: Not away from the transmissions and the industrial?
Michael Batten : Right, right. The marine backlog is in effect replacing the transmission backlog.
Joe Norton - Singular Research: Okay, okay that helps and then going back to the marine and the mega yacht, in the past you talked about very strong demand from emerging markets and you didn’t mention that today, so is that segment slowing in the yacht business?
Michael Batten : It was -- I probably should have said it, forgive me for that. This is really where the demand is coming from in large measure, if that is -- there is continuing high wealth demand from the US and Europe but it is -- the fastest growth rates are coming from the Russians, the Chinese, and continued support from the Middle East and even India.
Joe Norton - Singular Research: Okay. So when you are talking about Italy are you just meaning that’s where you are selling it out of or --?
Michael Batten: That’s right. In other words, our customer base is primarily the Italian mega yacht community but also includes the UK and the US but Italy has become the largest producer of mega yachts in the world.
Joe Norton - Singular Research: Okay. So then, the crashing stock market in the emerging markets is not really affecting the wealth effect that you guys are seeing?
Michael Batten: That’s right. I mean -- we are dealing with people who are exceedingly wealthy and they are not going to be terribly affected by what’s happening in terms of normal economy or even wealth -- yes, a market crash -- a terrible market crash might give some pause but we are talking about people if you could afford to buy a $50 million or a $100 million yacht, they are pretty well insulated.
Joe Norton - Singular Research: Okay, got it and then the last thing, just on the tax rate. I don’t know if you said should we just go back to a normal tax rate in the fourth quarter or what should we be thinking about for tax rate?
Michael Batten: Let Chris answer that.
Christopher Eperjesy: Yeah, you will notice last year’s fourth quarter also wasn’t normal. There was some noise then. The two adjustments that were made in this quarter, the $1 million for the Italian corporate tax rate and roughly what’s called the $800,000 that is surrounding in there related to the return to provision adjustment or just that is the one-time adjustment. However -- and the first one really relates to setting up the deferred tax asset related to the corporate tax rate change Italy, that was basically for timing differences which will happen in the future. So the (inaudible) however, starting in fiscal ’09 which is when the Cap Italian changed as a fact is when you’ll start to see it flow-through in the normal operating results for our Italian operation, so you will see an effect and effectively what happened is that change brings it more in line with the US corporate rate but I think if you go back and look at our income tax footnote you can roughly see what that magnitude of difference is but roughly, it’s a 5% reduction in the Italian corporate tax rate -- 5 percentage points for actual point reduction.
Joe Norton - Singular Research: We’ll have to take the overall rate down by a couple of points.
Michael Batten: It will take it down by something. I don’t know that we know exactly because it’s dependent on the mix of where the earnings are coming from.
Joe Norton - Singular Research: Okay. But that’s ’09, so for the fourth quarter, should we go back to kind of a 39.5%?
Michael Batten: It’s not going to be an unusual quarter and that you shouldn’t seen an insignificant, unusual adjustments.
Joe Norton - Singular Research: Okay, okay very good. Thanks a lot.
Michael Batten: Thanks Joe.
Operator:
Ephraim Fields - Claris Capital: Hi, good afternoon.
Michael Batten: Hey.
Ephraim Fields - Claris Capital: Mike you tend to be a conservative person by nature, so I was pleased to see you commenting about the reemerging activity in the oil and gas markets. Two questions; one is can you tell me what you are looking at that gives you that enthusiasm and number two, could you speak directionally about the margins that you get in those businesses as opposed to the other businesses that you are also in.
Michael Batten: Sure. With respect to the demand, we are seeing entry of orders as I said from customers in the oil and gas market for our factory inward transmission. So that is one basis that we are getting solid orders. Two, we are getting additional enquires from customers that have been quite for a period of time and they are talking about additional builds and we haven’t heard that in a while, so that adds to our outlook. We are counting our eggs so to speak but the fact that there is -- order enquiry usually begins the process of order entry. So that’s really what we are seeing. I'm aware of other people reporting perhaps with some differing information but at this point, based on what we are seeing just ourselves is the basis of where we are coming from. As to the margin question, we do get a better margin from the oil and gas markets as we have indicated in our press release and of course the margin rates of the demand that is replacing it is not as great. They are still good margins but not necessarily the ones that we have and I think that that is also covered in the press release where we are seeing reduced volume of higher margin products. These will be the quarter that would be our fracturing transmission and we are seeing higher volumes of lower margin products which would be our marine but certain aspects of our marine margins are pretty good. So I'm not embarrassed by those margins wither; it’s just that some of them are not as good as giving up in the oil and gas; these will be a year ago. But I do think that the fact that we are maintaining a gross margin in excess of 30%, 31% is saying that the ongoing margin rate is still in pretty good shape.
Ephraim Fields - Claris Capital: And my final question is I know you have spent a lot of time and money on the ERP system. Just give us some color to the benefits that you hope to drive once it’s all fully functioning.
Michael Batten: Sure. A lot of it depends and is based on where we were and you and the others may not know but we had as many as eight different platforms around the world and through a multiple of manufacturing operations, acquisitions and distribution subsidiaries and of course as we came to Sarbanes Oxley, that was pretty costly to have to generate individual Sarbanes Oxley controls at each one of these. So we obviously made the decision to go to a global ERP program to; a, eliminate those ongoing costs of maintaining Sarbanes Oxley but in addition, there is going to be a benefit from the ability of our centralized and corporate financial control operation to be able to analyze information more quickly, offer the standard chart of accounts and database to be able to go in query, get information. It will also reduce to a certain extent, not completely, the headcount that is required in each of these operations around the world. So we think that we are going to see value occur as we go into the system and really that’s why we are there in the fleet now to get to that point of having one common system, fewer people in the organization and ability to get information more quickly and on a standardized basis.
Ephraim Fields - Claris Capital: Great, thank you very much.
Michael Batten: Okay Afrain.
Operator: (Operator Instructions) Our next question is a follow-up from Harris Hall. Please go ahead.
Harris Hall – Longdale Asset Management: Thanks. Just a couple of more things. The operating cost; obviously you said it was reduced by stock option compensation by $2.3 million. In backing that out it’s a little over $17 million in the quarter and just looking out, our Q4, is that a good run rate to use going forward or which was something special in last years Q4 or was that over $19 million. How should we think about operating cost going forward.
Michael Batten: I will let Chris to answer that since we are getting into some of the numbers.
Christopher Eperjesy: Yeah, I think you are asking about the ME&A; in the third quarter, adjusted for the stock-based comp compared to the fourth quarter. It’s not quite that simple to say yes or no because there is a number of factors including foreign exchange which may or may not play an impact, then also you have again what happens in the quarter in stock-based comp. I guess I would say there is nothing significant that we are at today that is unusual from the existing operation of the company. So in terms of our fixed cost structure, there may be something related to again stock-based comps or some other anticipated item but as of right now, there is no major changes that have been made or expected to be made in the fourth quarter beyond the ERP implementation.
Harris Hall – Longdale Asset Management: Was there anything special or one-time it happened about Q4 ’07, it got just over $19 million last year?
Michael Batten: There was, there was and I don’t have the number in front of me, I apologize but there was the -- there was the stock-based compensation adjustments in the fourth quarter of last year in the other direction and that’s why we do have it here. In the fourth quarter of last year which I think we disclosed in last year’s press release, there was a roughly I believe a $1 million adjustment soar up in stock-based compensation expense that would have floats (inaudible) in the fourth quarter of last year.
Harris Hall – Longdale Asset Management: Okay. So it wasn’t just that you had pretty soft sales last year in the fourth quarter and it wasn’t commissions, it was really a one-time thing and we should kind of look at that $19 million numbers.
Michael Batten: I would say yes but then we have had a number of outliers as a result of some of these movements. So if you adjust for those stock-based compensation, then that will be an escape.
Harris Hall – Longdale Asset Management: Okay. And then I know you are talking about volumes being down 8% in the quarter but that’s -- sales line, but that was actually just constant dollars. Can you give us any more color on pricing and unit. I know you mentioned that some of your higher material prices were being offset by the higher prices to follow customer demand and does that imply that the units were down and pricing was up or how should we look at the ASP trends in the near term?
Michael Batten: The pricing that we have put into effect was -- it was staggered through the year, some of it occurring at the beginning of the fiscal year and some of it occurring at quarters and at mid-year depending upon -- well, just based on different products. So we are in the process of raising prices again and we expect to fully offset any inflationary activity that we are experiencing.
Harris Hall – Longdale Asset Management: Okay. So on balance, would you say that your average selling prices are higher than they were a year ago?
Michael Batten: Our average prices are higher than they were a year ago, that’s correct.
Harris Hall – Longdale Asset Management: Okay. And then lastly, you talked about Q3 being a tough comp from last year. Obviously Q4 was even $4 million higher. Is there some seasonal factors going on or should we look at the comp of Q4 as $91 million of sales last year had a tough comp as well?
Michael Batten: He is talking about sales.
Harris Hall – Longdale Asset Management: Right.
Michael Batten: Sales -- the third quarter last year was a remarkable quarter and obviously we had just about everything going right in terms of shipping high margin product out the dorm and we had very few of any what Chris calls noise in the quarter. As we look at the fourth quarter coming up, I'm not quite sure and we don’t forecast what our specific numbers are going to be, going out in the quarter or even beyond but we ought to be in the ballpark with the fourth quarter next year. I mean this fourth quarter versus a year ago.
Harris Hall – Longdale Asset Management: I guess my question was the impressive fourth quarter you have last year, was that a function of seasonal issues where you normally have a big fourth quarter or was it again a tough comp where you have a record fourth quarter last year, but do you expect that to be a tough comp this fourth quarter?
Michael Batten: Well, I think the last year was a very good year in the Company’s history and we started out this year with a very good first quarter and saw some softness occur in oil and gas in the second quarter which as followed into the third quarter and is likely to continue into the fourth quarter at this year’s rate of shipments rather than last year’s rate of shipments. However, offsetting that has been the emergence of our commercial marine and mega yacht activity also bolstered by military and our airport rescue and firefighting activity that has picked up most of the slack to allow us to continue with floating numbers that are very respectable against last year. So that process is continuing into the fourth quarter. So what you are going to see in the fourth quarter is very much a continuation of the trends that have been in place over the last couple of quarters anyway and we are developing a fourth quarter that is going to be different than last year but is going to be a good quarter.
Harris Hall – Longdale Asset Management: Okay. I guess what I mean here is if it looks historically like your fourth quarter has been your strongest quarter. Is there some seasonal issues there that you thought or is that just a coincidence?
Michael Batten: I see, I'm sorry, I guess I was a little tensed today. But the fourth quarter tends to have more shipping days in it than the other quarters in the year. First quarter starts out with a lot of vacation schedules both our own end customers and second and third quarters tend to be more of a middle of the road and the fourth quarter tends to be a better quarter in the year because it has more shipping days typically and I guess there’s a tendency on the part of customers to anticipate that there is going to be -- summer shutdowns are not the effect of summer vacation schedules. So they get their orders and want their shipments in hand by the end of June so that they are waiting in July or August.
Harris Hall – Longdale Asset Management: Great, that’s very helpful. I will let someone else take.
Michael Batten: Yeah, okay, fine Harris.
Operator: And at this time gentlemen, I am seeing no further question in the queue. I would like to turn the call back over to you for any concluding remarks you have.
Michael Batten: Well, thank you Eric and thank you everyone for attending the call today. As I said earlier, we are pleased with the results of the third quarter. We are optimistic about the balance of the year and see demand continuing into 2009. So we value your interest and the questions that you generate and hopefully we have responded to them adequately. Again, thanks a lot and we’ll see you next quarter.
Operator: Ladies and gentlemen, this does conclude the Twin Disc 2008 third quarter financial results conference call. You may now disconnect and have a pleasant day.